Operator: Good afternoon and welcome to the Ross Stores Fourth Quarter and Fiscal 2023 Earnings Release Conference Call. The call will begin with prepared comments by management followed by a question-and-answer session. [Operator Instructions]
 Before we get started, on behalf of Ross Stores, I would like to note that the comments made on this call will contain forward-looking statements regarding expectations about future growth and financial results, including sales and earnings forecasts, new store openings and other matters that are based on the company's current forecast of aspects of its future business. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from historical performance or current expectations. Risk factors are included in today's press release and the company's fiscal 2022 Form 10-K and fiscal 2023 Form 10-Qs and 8-Ks on file with the SEC. 
 And now I'd like to turn the call over to Barbara Rentler, Chief Executive Officer. 
Barbara Rentler: Good afternoon. Joining me on our call today are Michael Hartshorn, Group President, Chief Operating Officer; Adam Orvos, Executive Vice President and Chief Financial Officer; and Connie Kao, Group Vice President, Investor Relations. We'll begin our call today with a review of our fourth quarter and 2023 performance followed by our outlook for 2024. Afterwards, we'll be happy to respond to any questions you may have. 
 As noted in today's press release, we are pleased with our fourth quarter sales and earnings results that were well ahead of our expectations. Our above-plan sales were driven by our customers' positive response to the improved assortments of quality branded bargains throughout our stores. Earnings per share for the 14 weeks ended February 3, 2024, were $1.82, up from $1.31 per share for the 13 weeks ended January 28, 2023. Net income for the period rose to $610 million versus $447 million last year. 
 Sales for the fourth quarter of 2023 grew to $6 billion, driven by robust comparable store sales gain of 7%. For the 2023 fiscal year, earnings per share were $5.56, up from $4.38 for the 52 weeks ended January 28, 2023. Net income for the fiscal 2023 was $1.9 billion compared to $1.5 billion last year. 
 Total sales for the year increased to $20.4 billion, up from $18.7 billion in the prior year period. Comparable store sales for the 52 weeks ended January 27, 2024, grew a solid 5%. As noted in our press release, the sales results for both the 2023 fourth quarter and fiscal year included a $308 million benefit from the 53rd week. Earnings per share for both periods also benefited from the extra week by approximately $0.20 per share. Fourth quarter operating margin grew 165 basis points to 12.4%, up from 10.7% in 2022. This improvement was mainly due to the strong gains in same-store sales and lower freight costs that were partially offset by higher incentives. The 53rd week also benefited operating margin by 80 basis points. 
 Now let's turn to additional details on our fourth quarter results. For the holiday selling season, cosmetics, home and Children's were the best-performing merchandise areas, while geographic results were broad-based. Dd's discount sales trends slightly trailed Ross' growth. While dd's top line results were respectable in fiscal 2023, we are disappointed with the performance in newer markets. 
 We are currently conducting an in-depth analysis of dd's to better understand and address the different wants and needs of their diverse customer base, particularly as we expand outside our current existing geographies. Until this work is completed, we believe it is wise over the near term to moderate dd's store growth in newer markets and focus new store openings, primarily in existing regions. 
 Now let's turn to inventory. As we ended the quarter and the year, consolidated inventories were up 8%. Average store inventories were up 9% compared to 2022's holiday period due primarily to the 53rd week shift. Packaway represented 40% of total inventories similar to last year. Regarding our store expansion program, we added 94 net new stores in 2023, including 71 Ross Stores, Ross Dress for Less and 23 dd's DISCOUNTS. We ended 2023 with 2,109 stores, including 1,764 Ross Dress for Less and 345 dd's DISCOUNTS locations. As we noted in today's release, for the fourth quarter and fiscal 2023, we repurchased a total of 1.9 million and 8.2 million shares of common stock, respectively, for an aggregate purchase price of $247 million in the quarter and $950 million for the fiscal year. These purchases were made pursuant to the 2-year $1.9 billion program announced in March 2022, which we have now completed as planned. 
 Our Board of Directors also recently approved a new 2-year, $2.1 billion stock repurchase authorization or approximately $1.05 billion for each fiscal year. This new plan represents an 11% increase over the recently completed repurchase program. In addition, the Board approved a 10% increase in our quarterly cash dividend to $0.3675 per share to be payable on March 29, 2024, to stockholders of record as of March 15, 2024. The increases to our stock repurchase and dividend programs reflect our continued commitment to enhancing stockholder value and returns, given the strength of our balance sheet and our ongoing ability to generate significant amounts of cash after funding growth and other capital needs of business. 
 Now Adam will provide further details on our fourth quarter results and additional color on our outlook for fiscal 2024. 
Adam Orvos: Thank you, Barbara. As previously mentioned, comparable store sales rose a strong 7% for the quarter, entirely driven by higher traffic and shoppers positive response to our improved assortments throughout our stores.
 As Barbara noted earlier, fourth quarter operating margin of 12.4% was up 165 basis points from 10.7% in 2022 and included about an 80 basis point benefit from the 53rd week in 2023. Cost of goods sold as a percent of sales improved by 265 basis points versus last year, benefiting from a combination of factors. 
 Merchandise gross margin increased by 110 basis points, primarily due to lower ocean freight costs. Distribution costs declined by 75 basis points partially driven by favorable timing of packaway-related costs. Domestic freight and occupancy costs levered by 75 and 45 basis points, respectively. Partially offsetting these benefits were buying costs that increased 40 basis points, mainly from higher incentives. SG&A for the period delevered by 100 basis points, mostly driven by higher incentive costs and wages. 
 Now let's discuss our outlook for fiscal 2024. As mentioned in our press release, we are encouraged by the sustained sales momentum that began in the second quarter of 2023 and continued through the holiday season. That said, there remains ongoing uncertainty in the macroeconomic and geopolitical environments. In addition, while inflation has moderated, prices for necessities like housing, food and gasoline remain elevated and continue to pressure the low to moderate income customers' discretionary spend. While we hope to do better, we believe it is prudent to continue to take a conservative approach to forecasting our business in 2024. For the 52 weeks ending February 1, 2025, we are planning comparable store sales to increase 2% to 3% on top of a solid 5% gain in 2023. If sales perform in line with this plan, we expect earnings per share for 2024 to be in the range of $5.64 to $5.89 compared to $5.56 in fiscal 2023. As a reminder, fiscal 2024 is a 52-week year compared to 53 weeks in 2023. As previously mentioned, our 2023 earnings per share benefited from an additional $0.20 of EPS from the extra week. 
 Turning to our guidance assumptions for the 2024 year. Total sales are planned to grow by 2% to 4% for the 52 weeks ending February 1, 2025, versus the 53 weeks ended February 3, 2024. This year-over-year increase in total revenue is affected by last year's 53rd week, which added approximately $308 million to sales in the fourth quarter and fiscal year of 2023. If same-store sales perform in line with our plan, operating margin for the full year is expected to be in the range of 11.2% to 11.5% compared to 11.3% last year, which benefited by 25 basis points from the 53rd week. This year-over-year change also includes the benefit of anniversarying higher incentive costs in 2023, given our outperformance. In addition, for fiscal 2024, we expect merchandise margins to be pressured as we plan to offer even more brands that are sharply priced to deliver the strong value proposition that our customers expect from us. For 2024, we expect to open approximately 90 new locations, comprised of about 75 Ross and 15 dd's DISCOUNTS. These openings do not include our plans to close or relocate about 10 to 15 older stores. 
 Net interest income is estimated to be $143 million. Depreciation amortization expense inclusive of stock-based amortization is forecast to be about $610 million for the year. The tax rate is projected to be about 24% to 25% and diluted shares outstanding are expected to be approximately $332 million. In addition, capital expenditures for 2024 are planned to be approximately $840 million as we make further investments in our stores, supply chain and merchant processes to support our long-term growth and to increase efficiencies throughout the business. 
 Let's turn now to our guidance for the first quarter. We are planning comparable store sales for the 13 weeks ending May 4, 2024, to be up 2% to 3% versus a 1% gain in last year's first quarter. If sales perform in line with this range, we expect earnings per share for the first quarter of 2024 to be $1.29 to $1.35 versus $1.09 last year. The operating statement assumptions that support our first quarter guidance include the following: total sales are planned to be up 6% to 8% versus last year's first quarter. We would then expect first quarter operating margin to be 11.1% to 11.4% compared to 10.1% last year. The expected increase mainly reflects our forecast for lower incentives and freight costs that are partially offset by lower merchandise margin and higher wages. We plan to add 18 new stores consisting of 11 Ross and 7 dd's DISCOUNTS during the period. Net interest income is estimated to be $44 million. Our tax rate is expected to be approximately 24% to 25% and diluted shares are forecasted to be about $335 million. 
 Now I'll turn the call back to Barbara Rentler for closing comments. 
Barbara Rentler: Thank you, Adam. To sum up, as Adam noted, while we hope to do better than our forecast this year, the external environment remains uncertain and our low to moderate income customers' discretionary spend continues to be impacted by elevated cost of living. Despite these headwinds last year, our shoppers responded positively to the strong values we offered across our stores which drove our better-than-expected sales and earnings growth throughout 2023. 
 In 2024, we plan to build upon these efforts and offer even more brands that are sharply priced to deliver the strong value proposition that our customers expect from us. We believe the diligent execution of this plan will result in increased market share gains this year and in the future. At this point, we'd like to open the call and respond to any questions you may have. 
Operator: [Operator Instructions] And the first question comes from the line of Lorraine Hutchinson with Bank of America. 
Lorraine Maikis: Barbara, I was hoping to better understand the dynamic around the sharply priced brands and their impact on merchandise margins. How big of the -- how large of a percentage of the assortment were you planning to take down to these sharper price points? And is there other opportunity to improve on the gross margins through domestic freight or other line items as the year progresses? 
Barbara Rentler: Sure, Lorraine. So let's just talk about the sharply priced brands. Obviously, I wouldn't talk about what type of penetration we're going to shift to. What I would say to you about the sharply priced brands is that during '23, we strengthened our value offerings. We kept saying that we were doing that, and we were doing that. And that really results in the acceleration of sales and started in Q2 and then persisted through the whole holiday season. And so that's really how we came up with in 2024, that we planned to build upon those successes that we had in '23 by offering more brands that are sharply priced to deliver that value proposition the customer wants. But what I would say to you also is it's a tiered strategy; a good, better, best strategy. 
 So in terms of gross margin expansion from the pure merchandising side. What I would say to you is this strategy really -- we really believe that this will drive sales and it will drive market share. And that's really how we're looking at it. Because that's what the customer has voted on all year, and we feel like it's a strategy that's broad-based in the entire box. Certainly, there are some businesses that have more opportunities than others. But that's really how we came to this conclusion and the customer has been voting, and that's really what she's been voting on. 
Michael Hartshorn: Lorraine, then on just the other margin opportunities from a freight standpoint, from a domestic freight standpoint, we do expect to see some improvement for the full year, but to a lesser extent than we saw last year. 
Operator: And the next question comes from the line of Matthew Boss with JPMorgan. 
Matthew Boss: And congrats on another great quarter. So Barbara, I guess maybe could you elaborate on drivers that you think really were behind? I think this is the best fourth quarter performance in more than 10 years, if I exclude the pandemic. Maybe what you saw across categories, do you think that you're attracting a new customer? And maybe just the decision to raise your initial comp view for 2024 to the 2% to 3% relative to historical 1% to 2%? And then just one for Adam. Any change to bottom line flow-through in the model for 2024 as we think about incremental comp potential upside? 
Michael Hartshorn: It's Michael Hartshorn. Just on the customer overall. It's hard to see whether it's a new customer or the existing customer is spending more. What we did see is our performance, as we said in the commentary was broad-based across region, but it was broad-based really across all aspects of our business, including geographically, income levels and age. 
Barbara Rentler: And in terms of -- Matthew, in terms of the drivers, the categories, the ones that I said, cosmetics, home and Children's were really the best, Accessories was slightly above the chain and apparel trailed the chain. But again, it performed above our plan. And I think part of the things that really drove it was we had a big push this year in home on gifting, and we added some new classifications and the customer responded. 
Adam Orvos: Yes. And on the flow-through question, this is Adam. Nothing has changed. We expect EBIT margin flow-through of about 10 to 15 basis points for each additional point of above-plan sales. And with our guide of plus 2% to 3%. And on a 52-week basis, you see margin rate expansion. We're getting some benefit also this year of lower incentive costs based on our outperformance from 2023. 
Operator: And the next question comes from the line of Mark Altschwager with Baird. 
Mark Altschwager: Maybe first, Barbara, just any hypothesis on what might be driving the weaker-than-expected dd's performance in newer markets? And maybe comment also on how the Ross Dress for Less stores in newer markets have been performing relative to your expectations? 
Michael Hartshorn: Just on -- I'll start with the Ross. The Ross new markets have been performing at or above our expectations. From a dd's standpoint, as we said in the commentary, the overall comp was just is slightly below Ross for both the quarter and the year. So while overall comps were respectable, we've been disappointed in the dd's new market performance. Our new markets tend to be more diverse based on ethnicity and income, and we clearly didn't satisfy them with the assortments we've been offering there. 
Mark Altschwager: Maybe just a follow-up. Can you comment on the buying environment and any changes you're seeing? And how is that impacting the expectations for the merchandise margin pressure this year, if at all? 
Barbara Rentler: Well, I think it's a positive buying environment. I mean there's still merchandise in the market. And I've said this on calls before, there are some vendors that are very aggressive in bringing in inventory as they're trying to gain market share and then others, it's more normalized. In terms of merchant margin, our strategy now is really to continue to offer the customer really great value because that is really, really what's working sharp prices. And so even if you're buying some of these really great opportunities, we are really thinking about passing along really that potential savings to the customer because we really do believe that is the best way to drive market -- to gain market share. And so that's really how we're approaching it at this point, and that is what the customer is responding to. 
Operator: And the next question comes from the line of Chuck Grom with Gordon Haskett. 
Charles Grom: Great results. From a category perspective, which categories do you view is the biggest opportunities in 2024? And curious, separately what you're seeing on the shrink front in the quarter and what your expectations are for '24? A couple of retailers, including Target today have called out improving shrink results lately. 
Barbara Rentler: Sure. In terms of categories for '24, I mean, with the brand strategy we're putting in place, I feel like there's -- it's pretty broad-based the opportunity. But obviously, our apparel business has been trailing the chain. And so we're focused on really trying to improve those assortments and to get the apparel business more in line with the other businesses. 
Michael Hartshorn: Chuck, on the shrink front, I would say we're not immune to the external theft and organized crime environment throughout retail. We do continue to invest in initiatives to hold shortage at bay. For 2023, our shrink levels were in line with 2022. Our guidance assumes that shrink is up a bit. So that's built into the guidance, but we'll continue to make investments there to keep it in line. 
Operator: And the next question comes from the line of Michael Binetti with Evercore ISI. 
Michael Binetti: Congrats on a really nice holiday. And I apologize if you said it, but did you mention how much the extra week impacted the gross margin in the fourth quarter? I heard the operating margin, but just housekeeping on that. And then, I guess, maybe we could talk a little bit about how you built to the comp guidance for the year with the 2% to 3% comp in the first quarter and in the year? I guess, as the comparisons get a little tougher, I think it implies the 2-year accelerates a little bit as we move through the year. So maybe just a little bit on how you were thinking about that. I'm wondering if that's maybe the sharp price merchandise assortment strategy accelerating through the year. Anything you could point to help us think alongside you on that, please? 
Barbara Rentler: Sure. So from the merchandise strategy, we do expect it to accelerate as we go. Obviously, we've been building the strategy off of starting in Q2 of 2023. And now -- I would say now it's more broad-based than we were as we were coming across. Maybe the words I want to use is it's a little more intentional in certain businesses than it was before. And so we do expect that as we come across. We are expecting that our Apparel business as we move through the year will improve. 
Adam Orvos: And Michael, on the 53rd week question, so we thought operating margin was worth 80 basis points in Q4 and about 25 for the year, and that was largely in gross margin versus SG&A. 
Operator: And the next question comes from the line of Alex Straton with Morgan Stanley. 
Alexandra Straton: Perfect. Super amazing [ trend ]. It looks like you guys are further closing the gap to pre-COVID EBIT with every passing quarter, even though fourth quarter still sits somewhat below. So can you just talk about what's hampering you from returning to the pre-COVID levels and how you think about recovering that gap from here? And then maybe Barbara, a big picture question for you. What are your key priorities for the year as you think about Ross? 
Michael Hartshorn: Alex, it's Michael Hartshorn. On the long-term kind of what it's going to take to close the EBIT margin gap. Obviously, the biggest drivers are where wages and freight has been over the last couple of years. I would say over the long term, we can -- we believe we can achieve gradual improvement in profitability. As always, EBIT growth will be highly dependent on sustained strong sales growth. We believe the improvements we've made and continue to make to strengthen our value offerings will lead to market share gains in the long run. I'll also say we're investing in capabilities to drive efficiencies and related cost savings that we believe will contribute to profitability as well over time. As you can see in this year's guidance, our EBIT leverage is around 3% with double-digit EPS growth at the top end of that 2% to 3% range on a 52-week basis. Over the long term, we think we can get leverage in the 3% to 4% comp range. 
Barbara Rentler: And in terms of priorities, our priority this year is really to gain market share through a diligent execution of the strategy. We've done a lot of work around what we believe we need to do to gain market share. And so on the Ross side, that really is mine and our key priority. And then on the dd's side to go off and to do some additional work, to understand that customer. So as we go into newer markets, we satisfy her needs. 
Operator: And the next question comes from the line of Adrienne Yih with Barclays. 
Adrienne Yih-Tennant: Great. And let me add my congratulations as well. Barbara, on the dd's, I was wondering if you could talk about sort of the new store strategy? Are you clustering them? What regions outside of California or is it within kind of the West Coast are seeing the differences? So any more detail on kind of your early thoughts on what's happening there other than sort of the broader demographic mix. And then Michael or Adam, on the transaction, can you talk about the fourth quarter, the holiday transaction growth versus the AUR component? 
Michael Hartshorn: Adrienne, on dd's. So our real estate strategy for dd's is a little different than Ross. It's not as a clustered strategy, as you said, as we see for Ross. There is -- after you get outside of our core markets in Texas, Florida and California, they are, as I said, distinct ethnicity differences, which means we have to find the right assortment that's different from our core markets. We'll know more after we go through the customer research, and then we'll make -- start making the adjustments we think we need to improve performance there. 
Adam Orvos: And Adrienne, on to your question on the components. Our 7% comp was all driven by traffic. Average basket was flat. So we had slightly higher AUR and slightly lower items per transaction. 
Operator: And the next question comes from the line of Brooke Roach with Goldman Sachs. 
Brooke Roach: I was hoping you could elaborate on the assumptions embedded in your outlook for SG&A expense for the year. What are you assuming for wage and other investments? And what are you seeing in the wage environment currently? 
Adam Orvos: I would say it's somewhat stabilized, Brooke. Really where we're taking wage increases is where the -- where we're required to by the minimum wage changes state by state. I would say from an SG&A standpoint, we'll get the benefit of anniversarying the higher incentive costs. And then, we've generally been able to do a good job while the minimum wage changes are putting pressure in the stores. Through some of the efficiencies that we've invested in, we've generally been able to offset that. So I'm not seeing much overall pressure on the store side on that front. 
Operator: The next question comes from the line of Ike Boruchow with Wells Fargo. 
Irwin Boruchow: Michael, maybe to you, I think to answering your question earlier, you had said that you expect freight to be a benefit this year but less so than in '23. Were you referring to domestic freight specifically? Are you talking to freight, including ocean freight within the merchandise margin loan? 
Michael Hartshorn: In that one, I was talking about domestic freight, but I'll let Adam take it to speak on this. 
Adam Orvos: Ike, this is Adam. So on the ocean freight side, we'll get a little bit of benefit in Q1, but kind of negligible over the course of the year. Obviously, this is going to be dependent on how the situation plays out in the Suez Canal. And the duration of that conflict if anything changes. But I would also say that impacts a very small portion of our freight, yet we're closely monitoring that situation. On the domestic side, that's what Michael was commenting on earlier because fuel prices are lower than where they were at least this time last year. And based on our contracted rates, we should see some slight benefit throughout the year on the domestic side. 
Irwin Boruchow: Got it. So slight benefits throughout the year on domestic. Adam, just based on the line of sight you have, is there any point in this year where ocean freight should flip to -- from a tailwind to a headwind? Or is it just kind of like flattening out for you guys? 
Adam Orvos: We'll have to see how that conflict plays out is probably the biggest variable hike. We have a fairly good line of sight other than that variable that we can't control. 
Operator: And the next question comes from the line of Simeon Siegel with BMO Capital Markets. 
Simeon Siegel: Nice job. Sorry, if I missed it, but did you talk about whether any of the transaction -- the traffic increases, are you seeing any trade down benefit? And then probably a dumb question, but does the sharply priced brands impact where you are at all, impact where you are or is it really -- is it just creating better value proposition without impacting AUR? And if it does, any order of magnitude we should keep in mind? 
Michael Hartshorn: Simeon, on the trade down customer, we did -- I'll just repeat that for us, it's hard to see whether there's a trade down customer performance. Was broad-based, as we said, across geographies, but it was also broad-based across income levels. So hard to really tease out any impact to the trade down. On the transaction data, the comp was entirely driven by traffic or transactions for us. The average basket was flat as slightly higher average unit retails were offset by slightly lower units per transaction. And then on the weather front, it was neutral for us. 
Simeon Siegel: So the sharply priced brands impacting going forward? Should we think about that from an AUR context? Or is that just changing the concentration of brands? 
Barbara Rentler: It's -- the AUR fluctuates. It's based on the mix and the value of the goods that we're buying. So there's not a specific AUR pricing strategy. It's really a value strategy as we buy goods and put them at the sharpest price as we can to offer great value. So it's not like we're trying to hit a specific AUR or -- it could move as we go through the year and as we go through different closeouts, products and all of that, we're expecting it to move around. 
Operator: And the next question comes from the line of Paul Lejuez with Citi. 
Paul Lejuez: At dd's, I'm curious how many stores are in region where you considered disappointing and what percentage of the store base do they represent? I'm curious if they didn't open as strongly as you thought? Or are they not comping as quickly as you thought? And also curious how the Ross Stores are performing in those same regions? 
Michael Hartshorn: Paul, I mean there are certain stores outside of our core markets, that's what I would say on number of stores. So you can see our store map. As far as Ross, Ross is performing fine in these markets. And it's really how they opened. Some of them are comping well, but they're comping off a low sales base. 
Paul Lejuez: Got it. And then you mentioned, I think, 10 to 15 store closings. How did that break down, dd's versus Ross? 
Adam Orvos: Store closings. So we talked about -- Paul, we talked about 10 to 15 either relocated or closing stores, and we won't get into Ross versus dd's on that front. 
Michael Hartshorn: Nor have we decided yet. Usually, these are stores, I think, Paul, as you know, these are at the end of the lease term or starting a new option period where we'll make that judgment as we progress through the year. 
Operator: And the next question comes from the line of Marni Shapiro with The Retail Tracker. 
Marni Shapiro: Congrats on a really nice quarter. And I'm going to hop in on the pricing question. I'm really sorry. But I want to just clarify the sharp price pricing because it sounds like Barbara, you're thinking about this a little bit more holistically, sort of getting to a better balance of really sharp opening prices and then layering that next level and the next level, versus looking at what you purchased and maybe taking a shorter margin here and a longer margin there. Is that right? Am I hearing that right? 
Barbara Rentler: Whenever you're pricing goods, Marni, you're always doing what you're saying. You're looking at the product and you're looking at the value, right? So it doesn't necessarily always have to do with what you're paying for a product, right? The merchants are looking at it and saying this is the right value and they're doing it. I think the sharp pricing that we're talking about is really adding more brands at all 3 levels, good, better, best, assessing those brands and then putting them out at the values that the customers really responded to. So it's -- it's really built on the products themselves. 
 I don't know how else to say that to you. We have the brands we want to have. We have [ visits and ] people who are growing. We've opened a lot of new resources this year. The merchants have been out really looking for new resources, looking to expand, looking to remix the products and labels themselves and then to put that mix out at sharp prices. So it's not like I'm looking to have x price point or x in each thing. It is really a value strategy, not a pricing strategy. It's a value strategy. 
Marni Shapiro: And where does beauty -- because it sounds like you had a nice quarter in beauty that typically carries a lower AUR, but can drive a lot of traffic? Does beauty carry a good margin? And where does beauty fit into the strategy for '24? 
Barbara Rentler: Well, Beauty has so many components in there from a margin perspective. Overall, the beauty margins are fine or good. In every business we went in and looked at what our values were, what our brands were, what our product offerings were and we went in and said, some businesses we thought were on track and we're fine. In some businesses, we're learning we have more opportunity after what we've learned starting in Q2 all the way through Q3 and Q4 and building on that. So it's kind of an evolving process. But there's -- again, it's really a merchant-driven process and making sure that we put out the best possible value in the things that the customer wants and that we have the right brands, the right recognizable brands at each level; good, better and best. 
Operator: And the next question comes from the line of Aneesha Sherman with Bernstein. 
Aneesha Sherman: I have two, please. I'm curious about -- can you talk about the cadence of comps through the quarter, particularly coming out of holiday into January and where you were exiting the quarter? And I have another one on stores. You talked about initiatives in the stores, and you've talked about it for the last couple of quarters. Do you see more structural benefits to store 4-wall margins over the next year or so from the store initiatives that you've been rolling out? 
Michael Hartshorn: Aneesha, it's Michael. On both of those. So we typically don't talk about inter-quarter trends. I will say, on a stack basis, comps were the -- slightly stronger during the peak holiday period, holiday selling period. On the 4-wall margin, so the type of investments we're making in stores, we're making a number of investments to improve efficiencies in the stores. In many cases, that's just offsetting some of the minimum wage -- statutory minimum wage increases we've seen. Some of the things we're doing are technology investments for instance, we're piloting self-checkout in all stores. We don't ever think that that's going to be a full chain rollout, but we'll see how that goes. We've put in place more efficient handheld devices and it's used to check inventory, take markdowns, manage tasks and eventually even allow associate scheduling within the store, all drive efficiency that help us offset the rising minimum wages. 
Aneesha Sherman: Sorry, just a quick follow-up, Michael. Can you give us a sense of how much of that has already been rolled out versus how much is to come over the next fiscal year? 
Michael Hartshorn: Well, I mean there are things beyond that. This fiscal year, we have a number of rollouts. And as Adam said earlier, that's fully offsetting the minimum wage increase. And we continue to have new initiatives in the pipeline going forward. 
Operator: And the next question comes from the line of Dana Telsey with the Telsey Advisory Group. 
Dana Telsey: Congratulations on the very nice results. As you think about the store profile in 2024 for both dd's and Ross, any changes in how you're thinking about it in terms of size? And then Barbara, you've always talked in the past about adding to the merchant team. What does it look like this year in terms of number of buyers, merchants added to the team or how you're thinking about it? 
Michael Hartshorn: Staying on the store profile, I'll give you the easy answer on that one. No, we're not thinking of any changes to the store prototype as we move into '24. 
Barbara Rentler: And in terms of the size of the merchant team, we have over 900 merchants. So every year, we -- every year, we promote people, move people. But in terms of saying, am I going out to take up the head count substantially? I think it's just -- I think it's more of a normal cadence that we would have. We feel like we have a pretty large team between the two companies. 
Dana Telsey: Just one follow-up. As you went through the quarter in January, we know there were those two weeks that were very cold. Was that an impact for you and the comps and the comps would have even been stronger if you hadn't had that weather issue that happened mid-January? 
Michael Hartshorn: Dana, on the quarter overall, so we take puts and takes all the way November through December, we think the weather impact was neutral for us. 
Operator: And the next question comes from the line of Corey Tarlowe with Jefferies. 
Corey Tarlowe: Great. In the past, I know you've talked about 60% to 65% new store productivity. Given your comments on dd's, recognizing that it's a smaller portion of the fleet, is that a consistent assumption within your guidance for 2024? 
Michael Hartshorn: It continues to be because the vast majority of the new stores are Ross. That said, the stores that we are opening for dd's, we expect them to be similar to historical sales levels because they're in the existing markets. But overall, 60% to 65% of a comp. 
Corey Tarlowe: Great. And then just a brief follow-up. Other than new stores, what areas are you investing in, in the CapEx? And how are you thinking about leveraging AI in your business? 
Michael Hartshorn: So first on where else we're investing, about 40% of the capital this year is just expanded capacity. So we're opening a -- plan to open a new DC in early '25 in Arizona, and we have another one, a DC that we're going to start construction on later this year on our next distribution center. So 40% of that capital this year is on increased DC capacity. AI, I would say there's two parts of AI. We already use AI in some of the automated parts of our business. I think generative AI will be a journey for us like it is for others, but it is something we'll be looking at to find efficiencies in the business. 
Operator: And the next question comes from the line of John Kernan with TD Cowen & Co. 
John Kernan: Great job on the holiday quarter. Just going back to stores. Ross Stores banner grew 4% this year. I think that was the fastest store growth since pre-COVID, dd's is up over 7%. How do we think about store growth not just for fiscal '24, but also beyond that and how that fits into your long-term store targets? 
Michael Hartshorn: Sure. First of all, our long-term store target hasn't changed, and that's 2,900 Ross Stores and 700 for dd's. I think you'd expect about 100 stores a year, depending on how the dd's plays out beyond this. But I think we're comfortable with the 75 Ross stores annually. That's a good fit for us, and we'll see where the dd's roll out after we get through our strategy. 
John Kernan: You haven't seen any long-term change in terms of competition for real estate, your peers in off-price are growing a lot of stores, too. I think there's been concerns about some of the availability out there, but it doesn't sound like you have any concerns? 
Michael Hartshorn: Well, there is -- I would say there's a lot of -- there's a lot of competition for our locations. But I'd say overall, we feel good about the real estate landscape and have a healthy pipeline. 
Operator: The next question comes from the line of Laura Champine with Loop Capital Markets. 
Laura Champine: It's related to the way we're reading stores, which to us looks like you're making a conscious decision to sharply control inventories, to maximize profits and minimize markdowns. Are we reading that right? Or is this just a small sample size of stores? 
Adam Orvos: Laura, are you just talking about inventory levels at year-end? Is that your question? 
Laura Champine: I'm talking about inventory levels that we're seeing currently over the past couple of months in stores really post holiday. 
Michael Hartshorn: I would say post holiday for us is really a clearance period. So -- it is our lowest inventories of the year and it happens to be our lowest sales period. So we want to start off the year correctly. So it doesn't surprise me that it would feel that way if you're looking at the stores in January. I think as you progress through the spring, we manage our in-store inventories based on term, and we set it up. If we can beat the plan, then we can leverage markdowns. So that's the way we run the business, and we try to beat the turn from the previous year. 
Operator: And the next question comes from the line of Krisztina Katai with Deutsche Bank. 
Krisztina Katai: Congratulations on the strong quarter. So I wanted to ask in terms of the competitive backdrop, many of bigger general merchandise retailer are still look fairly lean on inventory, I think especially when we look at apparel and certain discretionary categories as we head into the spring. So I just -- I was just curious how that's sort of incorporated into your thinking on comps and maybe where you see some of the biggest opportunities in the first half to take share. 
Barbara Rentler: Krisztina, I'm not 100% sure what exactly -- what you're getting at exactly. Could you just say that again? 
Krisztina Katai: Sure. It's just that many of your bigger general merchandise peers are still planning inventories very cautiously and they're sort of lean on inventories in many discretionary categories. So as you're sort of planning your business, you're looking at your good, better, best sort of assortment, maybe just how you're thinking about your position for spring and then heading into the summer? 
Barbara Rentler: So the first part in inventory, as Michael just said, we plan our inventory based off of sales and turn. And so -- and we build that by business, really bottom up, just in terms of pure inventory level and then we drive receipts. We have the inventory base we think we need and then we go to chase, and we drive the receipts, which drives the sales which drives the profits. That's from basic inventory. In terms of which categories, that's a merchant-driven strategy in terms of what businesses we're going to go after, where we see the opportunity in the outside world, where we know we can show great value and where we can add assortment. So there are kind of two different levels of thinking. And remember, it's a flexible business model. So if business really takes off and as we've started to beat our sales plans, we have the ability to take the inventory up or drive the inventory down because the model is flexible, the stores are flexible and the products are flexible. So we go -- we start in with our base plan and then again, build up for sales turn and then we go -- then we react to what the customer is telling us. So it's kind of fluid. 
Operator: And our final question comes from the line of Jay Sole with UBS. 
Jay Sole: Barbara, you talked that one of your goals for the year was taking market share. Is your expectation that you're going to take market share from other off-price retailers or department stores or maybe just a little bit of everybody? 
Barbara Rentler: I just think -- look, I just think there's market share to be had. I mean, more stores keep closing. I mean -- and there's just less places for consumers to shop and our job is to satisfy the customer. And if we do that, there are consumers out there for us to pick up and to expand. So we want to be able to satisfy our current customers and get her to come back more. We want to be able to add additional customers because as we know, as there have been many store closures over the last few years, that's also helped to fuel off-price. So as that continues, this is a focus for us. 
Operator: And there are no further questions at this time. I'd now like to turn the floor back over to Barbara Rentler for any closing comments. 
Barbara Rentler: Thank you for joining us today and for your interest in Ross Stores. 
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.